Operator: Greetings, and welcome to the Riot Platforms First Quarter 2021 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Philip McPherson, Vice President of Capital Markets and Investor Relations. Thank you, Phil. You may begin. 
Phil McPherson: Thank you, Devine. Good morning, and welcome to Riot Platforms First Quarter 2024 Earnings Call. My name is Phil McPherson, and joining me on today's call are Jason Les, CEO; Colin Yee, CFO; and Jason Chung, Executive Vice President of Corporate Development and Strategy. On the Riot Investor Relations website, you can find our first quarter 2024 earnings press release and earnings presentation, which are intended to supplement today's prepared remarks and which include a discussion of certain non-GAAP items. 
 Non-GAAP financial measures provided should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with GAAP and are included as additional clarifying items to aid investors in further understanding the company's first quarter performance. During today's call, we will be making forward-looking statements regarding potential future events. These statements are based on management's current expectations and assumptions and are subject to risks and uncertainties. 
 Actual results could materially differ due to factors discussed in today's earnings press release and comments and responses made during today's call and in the Risk Factors section of our Form 10-K, Form 10-Q included for the quarter ended March 31, 2024, which will be filed today after market close and other filings with the Securities and Exchange Commission. With that, I would like to turn the call over to Jason Les, CEO of Riot Platforms. 
Jason Les: Thank you, Phil, and good morning, everyone. Riot filed our first quarter 2024 press release and earnings presentation this morning, both of which are available on the Investor Relations section of Riot's website. Riot's primary strategic focus has been on developing a leading vertically integrated Bitcoin mining company, built on the 3 key pillars of developing and owning operations of significant scale, being a low-cost producer of Bitcoin and building a balance sheet of strength. 
 By focusing on a vertically integrated strategy, we are best able to build these pillars. Over the past 3 years, we have been focused on developing this strategy at scale. This began with the acquisition of our Rockdale facility, its development and operations teams and low-cost fixed power contracts. The strategy continued with the acquisition of ESS Metron and the introduction of our engineering segment, which helps control the key supply bottleneck for electrical equipment and building out Bitcoin mining infrastructure. 
 And finally, the development of our Corsicana facility has broadened our portfolio of access to power capacity and purpose-built Bitcoin mining facilities. The benefits of this strategy are on display today. And as a result, we see other miners in the space moving towards a similar strategy. 
 Since Riot has developed this strategy most fully and at scale, we are able to build out facilities like Corsicana further, while others who have not already ordered key pieces of electrical equipment, based 18-plus months of supply chain constraints. The energization of Corsicana this month means that Riot has a clear, fully funded growth plan. This landmark achievement is the result of our team's dedication to our long-term strategy. 
 The first phase of this facility puts us well on track to increase our self-mining hash rate to 31 EH/s by the end of 2024. The Corsicana facility utilizes immersion cooling for all of its buildings, a technology in which Riot is the industry leader in deploying at scale. We are very excited about the incredible pipeline for growth the Corsicana facility provides for the next several years, and we look forward to further executing on this plan. 
 Through owning and operating our own sites and an unmatched portfolio of 345 megawatts of fixed-price long-term power agreements, we have the unique ability to execute on our power strategy, which demonstrates the benefits of Bitcoin mining for grid stability and significantly drives down our cost of power. Power is the primary variable input for Bitcoin mining, and that is why we have built our reputation as a leader in this key part of our business. 
 Making large acquisitions, developing pipelines for growth and maintaining fixed price power contracts at scale requires a strong financial and liquidity position. Our unmatched balance sheet strength makes all of this possible and is responsible for their success. With this strong position, we are funding our near and intermediate-term growth plans to expand Corsicana and increase our hash rate through purchasing leading-edge miners on a long-term fixed price basis for MicroBT. 
 In conclusion, we remain focused on the growth and enhancement of our self-mining business. In 2023, we terminated 2 remaining legacy hosting contracts at the Rockdale facility because of both customers' failure to perform under those agreements. As a result of the reduction in hosting revenue, we have eliminated the data center hosting business as a separate reporting segment starting in the first quarter of 2024 and our consolidating results into the Bitcoin mining business segment. Riot's focus is maximizing Bitcoin mining results, and our strategy is enabling us to execute on this at an unprecedented scale. 
 With that, I would like to now turn the call over to Colin Yee, CFO of Riot Platforms. 
Colin Yee: Thank you, Jason. I'm excited to present Riot's financial results for the first quarter of 2024, during which Riot achieved a number of key milestones. For ease of reference, Slide 5 presents a snapshot of key metrics for the first quarter of 2024. But let's go over some highlights on the following pages. 
 We own and operate one of the largest Bitcoin mining operations in North America. And during this past quarter, we continue to deploy miners in Rockdale. We have also pushed ahead with development activities at our new Corsicana facility, which has since been energized and operations have begun. 
 At the end of the first quarter of 2024, our Bitcoin mining business segment had a total deployed hash rate of 12.4 EH/s, which represents an 18% increase year-over-year. And as Jason previously mentioned, we anticipate achieving a total self-mining hash rate capacity of 31 EH/s by the end of 2024. During the first quarter of 2024, we mined 1,364 Bitcoin, which represents a decrease of 36% from the 2,115 Bitcoin we mined during the first quarter of 2023. This was primarily due to the significant increase in the Bitcoin network difficulty, which has more than doubled since January 2023. 
 However, with the significant increase in growth in our hash rate capacity expected by the end of this year, we anticipate producing more Bitcoin per day by the end of the year than we did in the first quarter of 2024, even in spite of the recent halving that occurred a few weeks ago on April 20, 2024. 
 Riot ended the first quarter of 2024 was 8,490 Bitcoin, up significantly relative to the 794 Bitcoin that we held at the end of the first quarter of 2023. In the first quarter of 2024, Riot reported total revenue of $79.3 million as compared to $73.2 million for the first quarter of 2023, an 18% increase year-over-year. This increase was primarily driven by a 131% increase in average Bitcoin prices year-over-year, offset by lower Bitcoin production, which decreased 36% year-over-year, again, due primarily to the significant increase in Bitcoin network difficulty, which has more than doubled since January 2023. 
 In footnote #1, you should note that power curtailment credits received totaled approximately $5.1 million for the quarter as compared to $3.1 million during the first quarter of 2023. And this equates to approximately 98 Bitcoin as computed by using average daily closing Bitcoin prices on a monthly basis. If these power credits received were applied to our total cost of revenues, our non-GAAP gross profit margin would have equaled $37.3 million or a 47% margin. 
 Non-GAAP adjusted EBITDA for the first quarter was $245.7 million as compared to the non-GAAP adjusted EBITDA of $81.7 million in the first quarter of 2023. Based on FASB's final standard on crypto assets issued in December 2023, under which Riot now recognizes its Bitcoin held at fair value and with changes in fair value now recognized in income. Riot elected to early adopt this guidance in 2023. 
 Net income for the quarter was $211.8 million or $0.82 per share compared to net income of $18.5 million or $0.11 per share for the same period in 2023. As a reminder, our net income for the quarter included a change in the fair value of Bitcoin equal to $234.1 million, noncash stock-based compensation expense of $32 million and depreciation and amortization of $32.3 million. 
 Beginning in the first quarter of 2024, we adjusted our depreciation schedule for mining hardware from a 2-year to a 3-year schedule based on our evaluation of market practice and our own operational history. In 2023, Riot terminated its 2 legacy data center hosting agreements. During the first quarter of 2024, revenue from the final data center hosting agreement was no longer material from both revenue and profit. And so commencing this quarter, we will no longer report data center hosting as a separate reportable segment. We also have no plans to offer data center hosting services to new customers. 
 For the first quarter of 2024, Bitcoin mining revenue totaled $74.6 million, which included $32 million in hosting revenue, an increase of $26.6 million year-over-year. This increase was primarily due to higher Bitcoin prices in the first quarter of 2024, which averaged $52,343 compared to $22,706 in the first quarter of 2023. However, this increase is partially offset by a decrease in Bitcoin mined in the first quarter of 2024 compared to the first quarter of 2023, again, due to the significant increase in the Bitcoin network difficulty. 
 Bitcoin Mining cost of revenue primarily consists of direct production costs, including electricity, labor and insurance and excludes depreciation and amortization. Bitcoin Mining revenue in excess of Bitcoin Mining cost of revenue for the quarter was $33.5 million, which is a margin of 45% as compared to $26.1 million or a margin of 54% from the first quarter of 2023. This increase was primarily driven by the increase in revenues from the expansion of Bitcoin mining capacity at our Rockdale facility. 
 If power credits were directly allocated to Bitcoin Mining cost of revenue, Bitcoin Mining cost of revenue would have decreased by $5.1 million, increasing our Bitcoin Mining margin to $38.6 million or 52% on a non-GAAP basis. Bitcoin Mining costs also included $4.5 million of power cost for the remaining hosting contracts. 
 Slide 9 breaks down Riot's cost to mine. The first quarter of 2024 for Riot had changes to our reporting segments. In 2023, Riot terminated the 2 remaining agreements under the legacy data center hosting business due to the failure of both customers to meeting their obligations under the agreements. As such, costs that had previously been captured and reported in the data center hosting segment have been absorbed by our self mining operations and presented within the Bitcoin mining segment in our first quarter 2024 financial statements. 
 Direct cost of mine in the first quarter of 2024 was $23,034 per Bitcoin, of which power costs were $16,764 or 73% of the total. Other costs of $6,270 represents the remaining 27%. The increase in the global network hash rate and accompanying increase in network difficulty was the primary driver behind an increase in Riot's average direct cost to mine Bitcoin. 
 Other costs include direct labor, miner insurance, miner and miner related equipment repairs, land lease and related property taxes, network costs and other utility expenses. We have already ordered new MicroBT machines to be deployed at our Rockdale facility, of which deployment will begin in the second quarter of 2024. And as additional hash rate is deployed and operational uptimes increased, we expect increased production of Bitcoin at the Rockdale facility. So as production increases, these fixed costs will be spread across the greater number of Bitcoin produced, thereby lowering our cost of mine of each Bitcoin. 
 Riot's engineering business carried on through Riot's wholly owned subsidiary of ESS Metron, reported revenue of $4.7 million in the first quarter of 2024 as compared to $16.1 million for the same 3-month period in 2023. The decrease of $11.4 million was primarily attributable to global supply chain constraints resulting in decreased receipts of materials. This delayed the completion of certain custom products for 2 large projects potentially worth $13.2 million, which ended up not being delivered in the quarter, and therefore, we were not able to recognize this revenue. 
 These supply chain shortages also impacted projects in our backlog due to the lack of manufacturing capacity. However, we anticipate that the supply chain issues currently impacting our engineering results will be resolved towards the end of the third quarter of this year. Engineering gross margin for the quarter was similarly impacted by these issues, resulting in a gross loss of $1.3 million as compared to a gross profit of $0.5 million for the first quarter of 2023. I will now turn the call back over to Jason Les. 
Jason Les: Thank you, Colin. Pictured on this slide is an aerial shot of our new Corsicana facility. We purchased the land for this facility in 2022 due to its strategic location next to the Navarro switch where 1 gigawatt of power capacity was available. Over the past 2 years, we have worked to develop this site's support reaching 1 gigawatt in total capacity, beginning with the first phase consisting of 400 megawatts of 100% immersion cooled Bitcoin Mining infrastructure, which spans 4 total buildings. 
 The 400-megawatt substation for the first phase of Corsicana's development was energized last month and mining operations have already commenced. Construction remains underway to complete the rest of the first phase by the end of 2024, and in 2025, we intend to continue development of this site to eventually reach 1 gigawatt in total capacity, which would cement the Corsicana's facility status as the largest dedicated Bitcoin Mining facility in North America and potentially globally. 
 Riot's infrastructure pipeline and long-term miner purchase agreement with MicroBT provides us with a clear and direct path to reaching 100 EH/s in self-mining hash rate. Based on our current purchase agreements and development plans, Riot plans to exit 2024 with a total hash rate of 31 EH/s. This includes 2.7 EH/s of growth at our Rockdale facility and 16 EH/s of new growth at our Corsicana facility. Altogether, when fully developed, this would represent a 154% increase in self-funding hash rate over 2024. 
 Fully developing the Corsicana facility through the remaining 600 megawatts of remaining capacity following the completion of the first phase of development and executing a part of our purchase option of MicroBT M56S miners would allow Riot to reach nearly 60 EH/s in total astray capacity. In other words, Corsicana provides a substantial amount of the infrastructure needed for Riot to utilize its purchase options with MicroBT and reach our 100 EH/s goal. These components give Riot the most directly visible and predictable pipeline for Riot Platforms in the Bitcoin Mining sector. 
 In order to fully utilize our pipeline of infrastructure, over the past 12 months, we have entered into a series of agreements with MicroBT to a total of 32 EH/s of next-generation miners. The decision to enter these large-scale purchase agreements came after several months of testing various latest generation MicroBT miners in both immersion and air-cooled environments and observing strong operating performance. 
 As a result of this investment, full deployment of our purchase orders is expected to improve our overall fleet efficiency by 21.3% to 21.8 J/TH. As part of our long-term agreement with MicroBT, we have purchase options for an additional 75 EH/s of miners on terms substantially similar to our original order. This option provides for a fixed price ceiling of $16.50 per TH on next-generation miners in order to support Riot further growing its fleet and improving overall efficiency. 
 Assuming full exercise of our purchase options and deployment of those miners, our fleet efficiency would improve even further to 19.7 J/TH. Riot prioritizes maintaining a strong balance sheet with significant cash and Bitcoin holdings in order to drive long-term value creation for our shareholders. As a result, we can act decisively and continuously scale our business to meet the growing opportunities in the Bitcoin mining space. 
 Our print growth plans to reach over 40 EH/s in 2025, call for $619 million in capital expenditures, which you can see broken down on this slide. We have sufficient financial resources to fund these growth plans entirely, and we expect to end 2025 with total liquidity exceeding that out of the end of the first quarter of 2024. 
 Riot's vision is to be the world's leading Bitcoin driven infrastructure platform. The strategy we have been executing on over the past several years has now begun bearing the results, which position us to realize this vision. Through our vertically integrated strategy, we have created an unmatched infrastructure growth pipeline to increase our hash rate by 154% this year to 31 EH/s and to ultimately lead us to our goal of reaching 100 EH/s in total self-mining has rate. 
 Riot's balance sheet strength underpins our ability to achieve these targets. And as a result, our 2024 and 2025 growth plans are fully funded. We are incredibly excited about what Riot is accomplishing this year, and we look forward to executing on our stated goals on our path to achieving 100 EH/s. 
 Thank you all for listening to our presentation. We would now like to open the call for questions. Operator? 
Operator: [Operator Instructions] 
 Phil, the floor is now yours for the Q&A session. 
Phil McPherson: Thank you, Devine. We'll take our first call from Kevin Dede at H.C. Wainwright. Kevin? 
Kevin Dede: It looks like he dropped off. We'll move to the next one. Our next question will come from Greg Lewis of BTIG. 
Gregory Lewis: Yes. Jason, just watching the strategy unfold in terms of the Bitcoin inventory management. It seems like we've kind of gone through ebbs and flows in terms of funding some operations with Bitcoin. More recently, at least based on the monthly production guidance, it seems like we started holding back and really trying to build that Bitcoin inventory in February and March. I don't think we -- I think maybe we saw a couple of Bitcoin. 
 Post the halving now, as we look at, I guess, May and beyond, how are you thinking about managing the puts and takes in terms of using Bitcoin that you're generating to kind of offset some costs and then at the same time, trying to build that inventory. Any kind of thoughts around that? 
Jason Les: Sure. Thanks, Greg. So our strategy is to always maintain a strong balance sheet. I think by now, we've all seen how business played out as a key strength for Riot. This includes both in cash and in Bitcoin. We are here because we're a Bitcoin company. We believe in a long-term value of Bitcoin. So we try to hold as much Bitcoin as possible. 
 As you noted, at the beginning of this year in January, we stopped selling Bitcoin. In February and March through our monthly updates, we reported we have not sold any Bitcoin. So currently, we are not selling any Bitcoin. However, we are continuing to always monitor our balance sheet in light of what we need from capital expenses and what we need for operational growth. 
 By maintaining such a strong balance sheet with a cash position that we're reporting today, we have sufficient cash reserves and further access to cash to our ATM program to continue to fund all of our growth plan and our operating expenditures. So it's a decision that we're making on a month-by-month basis of value in the market, evaluating the financing options, evaluating our cost of capital and with the parallel goal of trying to hold as much Bitcoin as possible. 
Gregory Lewis: Okay. Great. And then just -- my other question was on the engineering business. Realizing that it's not a major driver of the company. Clearly, that's the Bitcoin Mining, but there was kind of a -- I guess there's a 2-part question here in terms of the engineering. With the first being, is there any seasonality that we should be thinking about as we look out over the next, I don't know, 3 to 4 quarters? 
 And then also, I was kind of curious, clearly, when you bought Metron, there was an opportunity to kind of get involved on the infrastructure equipment side, not realizing maybe that Riot's core function as a miner isn't going to be around AI data centers. Is that business Metron? Is that positioned at all to benefit from kind of this ongoing AI infrastructure wave that seems like it's -- we're in the midst of... 
Jason Les: Yes. So let me tackle this, starting with the last question, Greg. So first, there is incredible demand for this type of electrical agreement right now. While Riot owned ESS Metron, we are one of the smallest customers. Overall, they have a ton of business and a ton of demand from all these data centers -- AI data centers that are rapidly trying to build out and meet demand for this type of service. So they are really overloaded with business opportunity. And what it's limited on has been manufacturing, warehouse capacity and access to the input parts from the global supply chain. 
 So they are benefiting quite a bit from this, and we are looking to increase the capacity of this business so they can meet the demand for these data centers and AI data centers, et cetera. But as you stated, our number one purchase -- reason for purchasing the ESS Metron was strategic. One, we noted in our deck here, it has reduced our CapEx expense for purchasing this electrical equipment from them by about $10 million over the 2 years since we've acquired them. 
 But even more important than that, it has been a critical component of controlling our supply chain while other competitors might have to rely on external parties to procure the electrical equipment and design custom engineering design what they need. We're able to control this in-house. We have visibility in our supply chain. We can move around this. We can make changes. It's been very advantageous to us as we built out both Rockdale and Corsicana. 
 Then your -- first part of your question, though, was the seasonality results. I think you will see a good amount of seasonality this year. Like we noted, the first quarter results were impacted by these global supply chain issues, which held back 2 big orders from moving forward. So not only could those orders not move forward and be recognized as revenue, they occupy space that stops other jobs from being completed. 
 So we expect these to be cleared up during the second half of 2024. We have additional warehouse space we procured. They're on top of resolving the supply chain issues. So that will allow these 2 key contracts to move forward. We can recognize those revenue and then we can keep the backlog flowing with the other demand, which is, as you asked about quite full of data center and AI infrastructure. 
Phil McPherson: Our next question is from Mike Colonnese from H.C. Wainwright. Mike? 
Michael Colonnese: First one is really more of a high-level question for me. Just curious how you guys are thinking about the operating environment here with cash prices at all-time lows post halving, the implications for your growth trajectory at Riot and how you expect the M&A landscape to play out as less efficient miners are forced to power down here? 
Jason Les: Sure. Thanks for the question, Mike. Let me answer the first part, and then the other question, I'll turn it over to Jason Chung, our Head of Corporate Development to talk about M&A here. I think the halving is always a tough time for miners. Immediately after this one, it seems not as bad because a huge influx of transaction fees that we saw, right? There were blocks with 30 Bitcoins in transaction fees and they scaled up from there, but that really offset the decrease in the -- from the block reward halving. 
 But that has subsided and recently, the price has gone down. I think by focusing on being a low-cost producer, Riot is very well positioned for these types of trough periods in Bitcoin Mining economics. Culminating with the summer here, especially with our power strategy, we are able to be very responsive with the price of power, use that to lower our direct cost of mine, and that allows Riot to be a low-cost producer when others have to fall off the network here. 
 And when those higher-cost producers fall off, as you know, difficulty adjust and then that widens the margin again as we're mining more Bitcoin. So we believe this is the type of environment where Riot's strategic pillars are on full display. Obviously, we're long-term bullish on Bitcoin. I just talked about we're holding Bitcoin because we believe in the upside of the system long term. 
 But to be -- to reach that long term, to be a leading Bitcoin Mining company, we have to focus on having this low cost of power and maintain a low cost of production through more difficult points in the market. 
 On the M&A question, I'll go ahead and turn it over to Jason Chung. 
Jason Chung: Thank you, Jason. Mike, thanks for the question. From our perspective, historically, I think deals have really been tendered in the sector by a number of factors. We can look at volatility in the underlying public miner stock volatility and underlying Bitcoin prices, differences in Bitcoin price expectations across buyers and sellers among other factors. And all of these factors have really led to what we've seen as a pretty -- a fairly wide gap between buyer expectations on valuation and seller expectations on valuation historically. 
 But I think our sense is that, that gap has started to narrow, particularly pre-halving and now that we're post halving, I think that trend will continue. At the same time, we've seen very healthy deal flow pre-halving, and we think that deal so will further increase post-halving. So when you take these 2 factors into consideration together, I think there's a really interesting window of opportunity approaching for deals to be done in the sector. 
 And on our side, we spent a lot of time building out what we believe is the most sophisticated corporate development team in our space, precisely to address this upcoming window. 
Michael Colonnese: That's great color. Appreciate that. And going back to the engineering business for just a moment. How should we think about engineering revenues once the supply chain issues are resolved later this year, especially given the growing backlog you guys are experiencing? Should we expect the run rate to go back in line with what we saw last year? Or should we experience more of an elevated level, especially given the growing demand for that business? 
Jason Les: Mike, I would say you can think about it just following the historical performance for now. I think the main thing that we need to work on to scale this business is increasing the capacity of that engineering segment. That will really be the driver of improved financial performance there. The demand is enormous. That has not been an issue for us. It's really expanding our manufacturing warehouse capacity. So we're working on that, but I wouldn't guide towards expecting a higher increase for that at that time. But it's something I think we could touch on at our next earnings call. 
Phil McPherson: Great. We'll take our next call from Darren Aftahi from ROTH MKM. Darren? 
Darren Aftahi: Two questions, if I may. The machines you're going to replace in Rockdale. I think in the release, you said those are going to start in the second quarter. Could you just kind of speak to the cadence of how those are going to be added? And then secondly, on the hosting capacity, any kind of sense on resolution there, at least what you can publicly say in terms of how you kind of shift some of that to self mining in the future? 
Jason Les: Yes, Darren. So for the hash rate replacement and growth at Rockdale. This is with the M60 series, latest generation MicroBT miners that we purchased. We're receiving those this month. We've been preparing to deploy those miners. I would say we can probably expect this to begin at the end of May, continued through June and July. I think the bulk of the deployments will happen during June. But over about the 8 weeks or so starting later this month is how we foresee those deployments going. 
 And that will both replace these problematic machines, which will increase the operating performance in our existing facilities and then we are growing our hash rate as well. So that will take Rockdale from the 12.4 EH/s now to a little over 50 EH/s when all those mines are deployed. We're really excited about this enhancement and growth. We've tested these M60S miners -- or M50 miners and other MicroBT miners considerably before making this decision. We're really impressed with the performance that we saw, the resilience under tougher operating conditions. So we're really excited about the results that we definitely see from those miners as we deploy them over the next couple of months here. 
 With respect to the hosting related litigation, litigation is always unpredictable. I can't really give guidance on that. We are certainly putting a lot of effort and resources towards that litigation. And I think we'll just have to see how it goes from now. 
Phil McPherson: Our next question comes from Martin Toner at ATB Capital. Martin? 
Martin Toner: Congrats on the great progress here, particularly, let's say, data center hosting. Can you talk to the drivers of sequentially higher SG&A in the quarter? And maybe what we should be thinking about for a run rate going forward? 
Jason Les: Sure. So 2 things here. One, again, just touched on, we've had increased level of legal litigation expense as we go through litigation process with these hosting customers. This is not a type of expense that should continue long term, but it's one we're continuing right now. The other point that I would touch on is, as I mentioned in the presentation, we've eliminated the data center hosting segment as a result of eliminating that segment. 
 Some of the costs that were previously in cost of revenues for that segment have now gone into SG&A. The final point I'll leave you with the commentary there is we're building a large business here. We have built this business into what we now are growing into. So we have built a business for 30 EH/s and beyond. And now with what we're accomplishing at Corsicana and the results we're seeing -- we're starting to see there, we're growing into that newer side. 
 So as far as what SG&A can look like going forward, I think you can expect $22 million to $25 million a quarter in cash expenses. I think that's a good estimate that we can give right now. And as the legal and litigation expenses that are not ongoing, continuous fall off, hopefully, we'll be able to improve that number. 
Martin Toner: Great. Can you talk a little bit about the curtailment revenue in the quarter. Any puts and takes that are noteworthy? And then have there been any changes to the power strategy since Analyst Day a few -- less than a month ago? 
Jason Les: So most of the power strategy results are really Q3 weighted. We see some every quarter, but most of them really come in the third quarter in the summer months. And of course, at the end of the second quarter, we get some of that in June. So the approximately $5 million you see from the first quarter, that's us really taking advantage of just limited opportunities that have come up during that quarter and the ancillary services revenue that we always participate in. 
 So how it plays out in this summer and mainly Q3 coming up here? It is hard to predict. It's going to be based on external factors like weather and generation performance that we cannot control. However, because we have this 345 megawatts of fixed price power because we have these blocks 24/7 and because of what we've learned on the power strategy that we've developed, we are in a really good position to act on the opportunities when they occur here. 
 So that 345 megawatts, that is Rockdale. So we'll be executing our power strategy at Rockdale, selling power when that spot price of power is exceeding Bitcoin Mining revenue. And then over at Corsicana, we are beginning unhedged and we'll just be responding to the spot prices of power as they occur there, which also gives us the benefit of capturing those very low priced or negative priced hours when they occur as well. 
Phil McPherson: Great. Our next question comes from Reggie Smith at JPMorgan. Reggie? 
Reginald Smith: I appreciate the disclosure on Slide 9. I'm still not all the way clear on, I guess, the drivers of the sequential increase and your cost to mine. I am looking at the network difficulty component. And it seems rather large in relation to the 4Q number. Maybe a little color on those 2 components of that and the other costs? And how much of that you think is kind of recurring versus onetime-ish? Any color you could provide there and just kind of bridge -- bridge that increase in cost in mind would be helpful? And then I have one follow-up question. 
Jason Les: Sure. Thanks, Reggie. So first, as you noted, there's about a 20% increase in network difficulty quarter-over-quarter. So that accounted for about [ $4,300, $4,400 ] cost per coin basis increase in our cost per coin. Other costs increased by about $5 million -- I'm sorry, $5,000 per coin for the quarter. So what is driving that is going to be the elimination of the data center hosting business, and therefore, the consolidation of some of those expenses that were previously in that segment, now in the Bitcoin Mining segment. 
 So some examples of these costs include things like miner repair. Miner repair is slightly elevated at this time. So we hope, especially when we are replacing all our problematic miners, that this cost is going to go down and not continue at least at this quantity. So what I would say is when we look at on Slide 9, our cost per coin, including $6,300 per coin in other costs, I think the best we can do at this time is guide to that approximately continuing. Of course, the halving has an impact on that, but that notwithstanding other costs, which should probably continue at the same rate. But we are going to hope to decrease those by having a lot less miner repair going forward. 
Reginald Smith: Got it. And you say miner repairs. You're not repairing the equipment from your hosting partners now, are you? 
Jason Les: Sorry, let me clarify this. 
Reginald Smith: I guess the comments were blended there. I'm trying to figure out like how much of it was kind of the, I guess, the overhead drag from the hosting business versus some of the other things? 
Jason Les: Yes. So let me clarify. Miner repair costs have always been in cost of goods for self mining. So that is not a new expense. I would say that the miner repair costs have been elevated in both Q4 and then now in Q1 of 2024 -- sorry, Q4 2023 and Q1 of 2024, and we expect that those are going to go down going forward. So -- and these are third-party repair costs. These are the costs that we are paying to third-party vendors for repairing our miners. 
 The other cost increase quarter-over-quarter by approximately $5,000 per coin. That's largely these other expenses that were previously included in data center hosting cost of revenue that is now in Bitcoin Mining cost of revenue. So some examples of this would be some direct labor expenses, some land lease and property taxes and then network costs and other utility expenses that we incurred. 
Reginald Smith: Yes, that makes sense. And then I guess, one big picture question for you. I appreciate the disclosure on kind of the 100 EH/s. As you think about growth beyond Corsicana, does that look different in terms of the size of facility, like, is Corsicana like the last final big facility? Do you think there'll be smaller ones going forward? And I ask that just in light of all of the AI interest and power assets and things like that. How are you thinking about like that next 40 EH/s of capacity kind of beyond Corsicana? What could that look like? 
Jason Les: Yes. I think that what we have at Corsicana is very valuable because it is probably the last 1 gigawatt site, probably the only 1 gigawatt site that exists and probably the last one that will ever be approved. Access to power is going to be a critical constraint for Bitcoin Miners and these other industries scaling up going forward. 
 So I think what you should expect to see from us is capturing smaller-sized opportunities. We're not opposed to doing smaller sites. We've merely been acting on the most frictionless growth path that's been in front of us, which has been these 2 sites of a large capacity. We're open to new sites and new opportunities of all sizes, and we're working on that quite a bit right now. So we look forward to sharing more results as those ideas become more actionable going forward. 
Reginald Smith: And I guess that could be outside of Texas or maybe even the United States? Or are you still trying to think about staying in Texas? 
Jason Les: No, we are open to operating, I would say, in the United States and North America. We've operated in Texas because that has been the easiest pathway to growth, and we really like the power market here. We're able to really achieve this industry-leading low cost of power here, which is just so critical in Bitcoin mining. That doesn't mean those opportunities don't exist elsewhere, though. So we look at opportunities all over the country all the time. 
 International opportunities, I think, to be determined. We're seeing some interesting things in South America and elsewhere. But there's other considerations always just besides power costs. So we look at a lot of things, but I think you could expect to see our growth in North America in the foreseeable future. 
Phil McPherson: Our next call comes from Lucas Pipes of B. Riley Securities. Lucas? 
Lucas Pipes: So my first question is back on the hosting side. And if we were to be on site today, would there still be machines from your former hosted customers? Or have they been removed? 
Jason Les: Yes. Lucas, so while we terminated our last 2 remaining hosting agreements towards the end of 2023, one of those customers still remains operating on site. So for the first quarter, that accounted for about $3.2 million in revenue, that was included in our Bitcoin mining revenue. And then their power cost of about $4.5 million was included in our cost of revenues for Bitcoin mining. So you would see that one remaining customer there performing -- I'm sorry, operating, while we continue through the legal process here and try to get to a resolution. 
Lucas Pipes: And the other one is fully out of your facilities at this point? 
Jason Les: That's correct. That's correct. 
Lucas Pipes: And kind of taking a step back, would you consider going back into the hosting business? Or is the lesson learned here, never again? 
Jason Les: Yes. I think that's the lesson learned here. Maybe I'll say a little more strongly than I would say. I think we have seen the best use of this infrastructure and building new infrastructure is for growing our self-mining operations. We want to get maximum exposure to Bitcoin. We want to leverage our efficient cost of production over the wider scale possible. And I think expanding the hosting business really just takes away that valuable infrastructure pipeline, which I think generates the results and better grows our businesses, more what our shareholders are looking for. So we are not looking to grow the hosting business any further. 
Lucas Pipes: Very helpful. And then just to round this out. When you look at M&A, you mentioned earlier you are inquisitive if you built out a sophisticated corporate development team. Would you rule out any targets that have posting agreements to date? And more generally, what would the ideal target look like? 
Jason Les: Sure. Let me turn that back to Jason Chung, our Head of Corporate Development. 
Jason Chung: Thank you, Jason, and thanks for the question, Lucas. Look, we -- in the M&A world, we see a wide variety of opportunities. And it's rare to see a target that 100% encapsulates everything you're looking for. So sometimes there are situations where there's an opportunity to make a deal, but it might come with some amount of hosting, for example, or other factors which may not completely tie to our overall strategy. And that's something that we have to take into account when we evaluate some of these opportunities in the market. 
 So I'd say as long as an opportunity is able to check most of the financial and strategic and operational boxes, the criteria that we have, then we'll consider it. That being said, at the same time, we are incredibly blessed at Riot to have an organic growth opportunity unlike others in the space. And so ultimately, we have to evaluate all these opportunities relative to our ability to control our own destiny at Corsicana and develop our pipeline with full control over what that looks like. 
Lucas Pipes: And in terms of size, what do you think is the -- is there a sweet spot either in terms of value dollars or kind of megawatts of capacity? 
Jason Chung: I wouldn't say there's a specific sweet spot in size. We do look at opportunities across the spectrum. Obviously, as a large-scale miner, we like looking at large-scale opportunities that can move the needle. But I think there are some interesting businesses that aren't necessarily large scale that may be a little less appreciated by the market or kind of fly under the radar. And so there are some interesting deals that can be done there as well. 
Phil McPherson: Okay. We've got time for one more question. Our last question is going to come from Owen Rickert at Northland Securities. 
Owen Rickert: I'm on for Mike Grondahl today. So just quickly, I guess, what's your confidence level on getting to the 31 EH/s by the end of the year? And what are some of the challenges you might face or you're currently facing to get there? 
Jason Les: Thanks for the question. I think we feel pretty confident about our ability to execute on that growth target. We're taking things step by step here. I would say a lesson that we learned from Rockdale was rushing too fast to get every miner online as quickly as possible, kind of oftentimes miss some steps that you have to come back and address later. 
 So we're very incrementally approaching the development year. The big milestone was energizing that substation. That was huge. We're very proud of that. And now it's a matter of just incrementally putting up these buildings, deploying the immersion equipment and putting the miners in and going from there. 
 So we're making these deployments step by step, and you can expect us to see this continue over the rest of the year. The challenges are really just kind of the small things that will come up in any large development. As you build and scale out more, you'll incur different problems like, hey, this electrical switch needs something, this networking thing needs resolution here or this immersion system needs to be altered quite a bit. 
 None of them are critical or big roadblocks. They are just the kind of punches that you roll with in this business. And through our experience in building this infrastructure at scale, we've become quite good at identifying small issues, resolving and then just continuing to move forward. So kind of to wrap that up, we're very confident about our 31 EH/s goal, and we are just marching forward on that for the next 7 months of the year. 
 Okay. That concludes our Q&A. Thank you, everyone, for listening in to our presentation and for the questions from our analysts. Very excited about what we have executed on Corsicana. We'll be providing updates as we always do on a monthly basis going forward. And look forward to speaking with everyone and sharing more results after the end of Q2 and Q2 results in August. 
 So with that, thank you, everyone. Have a good day. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.